Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome, and thank you for joining the Q4 '23 Report of Loomis AB. Throughout today's recorded presentation, all participants will be in a listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] Being my pleasure to turn the conference over to Aritz Larrea, President and CEO. Please go ahead, sir.
Aritz Larrea: Thank you very much. Good morning, everyone and welcome to the fourth quarter presentation for Loomis. My name is Aritz Larrea and I'm the CEO of Loomis. With me here today, I have our CFO, Johan Wilsby; and Jenny Bostrom, our Head of Sustainability and Investor Relations. I will begin by giving a brief review of our Q4 business performance. I will then review the financials and provide an overview of the year 2023, before taking questions. Let's start the presentation by turning to slide three. Starting with an overview of the market development and how the trends relate to our business, we had a solid performance during the fourth quarter. We continue to see high demand for cash-handling automated solutions and we have had strong growth within SafePoint in both the U.S. and Europe. I'm happy to have the team on board and to be focusing on creating positive sales synergies in this area. While many of our business lines had revenue growth in the quarter, we did see a cyclical volume decline in our international and FX businesses. We are seeing that the higher interest rate environment impacts the demand for storage and transportation of cash and valuables, which has a negative effect on the international business line. Similarly, the high metal prices impacted the gold in our FX business. Globally, equal access to the payment sector is becoming more and more important. We are witnessing an increase in global conversations around the significance of having access to various payment methods, including cash due to the present geopolitical environment and frowing cybersecurity risks. Here, we have an important role to play in supporting society with efficient and sustainable payment flows. We're also pleased to see an increasing interest from many stakeholders when it comes to sustainability. The corporate sustainability reporting directive came into effect at the beginning of 2024 and we are in the process of implementing what will be required of us as a company. Our double materiality analysis will headset Loomis's long-term efforts within sustainability going forward. I will share some highlights of initiatives within sustainability during the fourth quarter later in the presentation. Let's move on to the next page, where we have the highlights for the quarter. We had a strong performance in the quarter and achieved a revenue above SEK7.4 billion, which is the highest revenue ever in a single quarter. The revenue was positively affected by the organic growth, as well as the acquisition of CIMA. We saw solid organic growth in the quarter, with an increase in all three segments despite a strong comparable quarter. We also recorded double-digit growth for our automated solutions overall. Our commitment to growing and developing our offer of automated solutions is an important part of our strategy. Our operating margin was 10.7% in the quarter. The U.S. segment had a great performance and successfully continued to implement operational efficiencies. The overall business in Europe and Latin America performed well. However, specific [Technical Difficulty] within the segment didn't deliver according to our expectations and we are taking action. Our strong cash flow throughout the quarter resulted in over SEK3 billion in operating cash flow for the year. Despite certain timing issues during the quarter, we were able to lower our sales -- day sales outstanding successfully. For the full-year, operating cash flow in relation with -- to our operating profit was 100% for the year, which is a strong number. As we announced yesterday, the Board of Directors has announced to restart the share repurchase program and repurchase shares for an amount up to SEK200 million in the first quarter. The Board has also proposed an increased dividend to SEK12.5 per share for the 2023 financial year, equivalent to about 60% of earnings per share, which is at the higher end of the interval within our communicated distribution policy. Let's turn to the next page where you can see how the revenue and the margin have developed over time. We have had a steady increase in our revenue since the beginning of 2021, including the currency impact and acquisitions, revenues increased 10% in the quarter compared to the prior year and the organic growth was 6.3%. Naturally, we would like to see a rise in margin. However, throughout the quarter, our operating margin did not trend positively. Allow me to continue addressing these drivers in detail in our segments. Let's turn to the next page and start with Europe and LatAm. The positive trend in revenue growth in Europe and Latin America continued, where we had another strong quarter. With the impact of the acquisition of CIMA, we reached record-high revenues of close to SEK3.6 billion. The organic growth rate was above 4% and the impact from changes in currency rates was limited. The present macroeconomic climate has negatively impacted our FX and international businesses, which influenced our 9.8% operating margin. In addition to this cyclical impact, we experienced certain operational issues in our FX line of business during the quarter which negatively impacted our profitability in Europe and Latin America. Additionally, as this is the first quarter with CIMA in the group, integration-related expenditures prevented the acquisition from being completely accretive in the fourth quarter. Turning on to the next page and focusing on the trend of both revenue and margin, we see that the total top-line growth was 12%. Since the beginning of 2021, we have seen a positive recovery expanding quarter-by-quarter in our main markets and we are now reaching stronger comparisons since 2022 was our big recovery year after the pandemic. Given the lower operating margin in comparison to the previous year, our primary goal for 2024 is to improve and increase our profit margins. Expanding our margin in the Europe and LatAm division will need a focus on both efficiency and restructuring strategies. Let's turn to the next page over to the U.S. The strong momentum continued in the US business. Revenues were above SEK3.8 billion, with a continued increase in recurring revenues. Our revenue related to automated solutions and ATMs represents 44% of the US revenue. Organic growth was 6.5% in the quarter with our automated solutions business with SafePoint achieving double-digit growth for yet another quarter in a row. We reported a strong operating margin of 15% and the operating income of SEK578 million is a new record for us. Moving on to the next page and focusing on the trend of both revenue and margin. And here, we see the exceptional U.S. business revenue trend during the last three years. And while we have benefited from favorable currency rates during parts of this period, I want to stress that our performance in local currency has also been very strong. We were extremely pleased to preserve the margin of 15% from the previous year, which we achieved via structuring our focused approach towards operational efficiency. Let's turn to the next stage and talk about Loomis Pay. Also for Loomis Pay, we had a strong revenue growth in all markets, both compared to the previous year and the previous quarter, and revenues reached SEK17 million. Transaction volumes increased significantly compared to the previous year and was slightly down compared to the third quarter, following the normal seasonality pattern of the food and beverage market. For the fourth quarter, the increase was 92% compared to the same quarter last year and we achieved about SEK1.2 billion in transaction volumes. Let's turn to the next slide, where I will share a couple of highlights on our progress on our sustainability initiatives. We can see that our sustainability-related projects are moving forward and we are clearly on track towards reaching our sustainability targets for the strategic period. Keeping our employees safe and minimizing the risk of injuries is one of our most important responsibilities. Therefore, I'm also pleased to share that we have succeeded in further reducing the injury frequency rate during the year and we've continued to strengthen our proactive measures for our employees' well-being. Even with our strong organic growth, we have successfully decreased our carbon emissions from fuel consumption and energy usage in absolute terms. We have invested in a lighter and electrified fleet, smarter route planning systems and technology, which all have contributed to emission reductions and have been beneficial from a cost perspective. We continue to gradually raise our ambitions within sustainability. One such step has been to update our Code of Conduct for suppliers to reflect not only what we expect from our suppliers in terms of ethics and how they handle their workforce, but to also cover their climate impact and supply chain responsibilities. We have also introduced a global training in diversity for our managers within the organization as part of our long-term initiative to promote fairness and inclusion throughout the organization. I'm very proud of the actions we're taking within the organization and the progress we're making. Let's turn to the income statement slide, where I'll start by highlighting the strong growth we have achieved both for the isolated quarter and for the full-year, where our real growth is 9%. Apart from the remarks I made on the EBITDA evolution in the previous slides, there were a few things that affected comparability throughout the quarter. One was associated with the Argentine pesos depreciation and another included the impairment of goodwill in one of our subsidiaries. We also have some costs associated with the restructuring plan in Europe and Latin America for the entire year. We expect to implement the remaining portion of the restructuring plan at the beginning of this year, and you can anticipate that the majority of the remaining restructuring costs will be recorded in our profit and loss statement during first-half of the year. I would also like to highlight that the increase in net financial items is largely as a result of the increased interest rates. We see the entire impact of the prior interest rate rises in our finance net for the quarter since, as you're aware, the majority of our borrowing has variable rates. Moving on to the next slide to highlight our performance in relations to our history. In 2023, we have achieved record revenues with strong year-over-year growth, while our margin is stable on a reported basis. Looking ahead towards 2024, we will continue to drive our growth by focusing on recurring revenue. At the same time that we focus on our structural work with operational efficiencies in order to increase our margins. In addition, the positive synergies with CIMA will contribute and have a positive impact on our performance. We are thus confident that our business plan and that we will reach our financial targets. Now moving to my final slide to summarize the full-year. We achieved record revenues of SEK28.7 billion, with an organic growth of 6%, which is solid growth, given that we also had a record year last year. We saw organic growth within our segments for the full year. Thanks to growing revenues and structured work on improving our operational efficiency, our margin increased in the US. As I touched upon earlier, there is more to do in terms of margin expansion and we will continue to execute our efficiency programs and restructuring plans in the coming year in order to reach our target of at least 12% EBITDA margin. In terms of Loomis Pay, both transaction volumes and revenues ramped up this year. And I'm positive that our efforts and investments in Loomis Pay will continue to generate results. We achieved a strong operating cash flow of more than SEK3 billion for the year, which in relation to our operating profit was 100%. We have a strong balance sheet with the capacity to continue to make strategic and value-creating acquisitions and distribute returns to our shareholders. Our capital allocation priorities remain and we aim to use our capital in the best way to generate returns and create value for our shareholders. The Board of Directors have decided to continue with share repurchases in the next quarter, in addition to a proposed dividend of SEK12.5 per share. The dividend, which stands for 60% of earnings per share, is at the top of our declared distribution policy. Lastly, we're making progress within our climate-related sustainability initiatives and in 2023, we further decreased our absolute emissions from transportation by close to 4% compared to the level of last year. As we get more and more electric vehicles on the road and further work on optimizing our routes, we are decreasing our emissions from transportation despite growing our business volumes. With additional solar panel installation projects and the highest share of renewable energy, I'm confident we will achieve our absolute CO2 emission reduction targets, while growing the business. As I mentioned before, keeping our employees safe and minimizing the risk of injuries is one of our most important responsibilities. While our efforts have paid off in 2023, we can never be done here and we will continue to strengthen our proactive measures for our employees safety. With that, I'm done with my summary of the fourth quarter and full year, so let's turn to Q&A. Operator, we are now open to questions, please.
Operator: Thank you very much. Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] Our first question today is from Daniel Thorsson from ABG. Please go ahead with your question.
Daniel Thorsson: Yes, thank you very much. I start off with a question on the U.S. market here. You have outperformed key peers in the U.S. quite significantly on organic growth in the recent quarters. Is that a pure strength in the growing market in your view, or do you see any slowdown in the U.S. market that could hit 2024 growth rates as competition could rise?
Aritz Larrea: No, it's a strength. We see the U.S. as a growing market and we have a really good service quality position there above our competitors. So we see it as a strength of the market.
Daniel Thorsson: Yes. And we should likely see continued growth in '24, I guess then.
Aritz Larrea: Yes, that will continue. Yes.
Daniel Thorsson: Yes. Thank you. In Europe, then, you're mentioning that you have some countries not performing good enough. Could you mention some of those and the reasons for that and some actions?
Aritz Larrea: So as I said, I mean, in Europe, overall, the performance is solid, but we had challenges in specific parts of the segment, right? We had -- we talked about Germany several times now. We have now the right [Technical Difficulty] in place. We're going to start the restructuring work there. But what we saw in the fourth quarter is that our operations were negatively affected by the pressure on gold prices, which is something cyclical. So we've also changed the operating model of our FX business, where we're moving away from major currencies only. And let's say, our organization was not well fitted for those trends and changes. And as a consequence, we've taken actions in order to address these issues.
Daniel Thorsson: Excellent. And then the last question here on the margin target, 12% to 14% in 2024, expectations are not really at 12% and you did not finish group margin here at 12% in '23. Where should we expect most of the margin improvements? Is it in the segment Europe or segment U.S.? You mentioned that you could improve both, but the most important here, please?
Aritz Larrea: Both will improve. I mean, our focus is going to be, obviously, in U.S. growth and continued benefits from operational efficiencies, that will continue. We will probably get positive sales synergies implemented with CIMA and CIMA being fully accretive margin-wise. And then we need to focus on the European and LatAm price increases, operational efficiencies, the restructuring that we haven't been able to execute yet, and try to improve the low-to-mid margin tier markets.
Daniel Thorsson: Excellent. Thank you very much, and good luck.
Aritz Larrea: Thank you.
Operator: Our next question comes from Karl-Johan Bonnevier from DNB Markets. Please go ahead with your question.
Karl-Johan Bonnevier: Yes. Good morning, Aritz, Johan and Jenny. A couple, if I may. Continuing on the previous question, looking at the U.S., I noticed you didn't mention any real problem related to your sourcing of employees anymore. Do you feel that you have that structure now to drive organic growth more forcefully and do it in an efficient way?
Aritz Larrea: I would say that we're already showing that. So, I mean, we've been talking that all those labor issues that were in the past got solved and we got better, we got staffed, we got trained. And I think we're showing that organic growth already and we're gaining market share as well.
Karl-Johan Bonnevier: Excellent. And on the SafePoint area, is it the right assumption that you grow that business to closer to 60,000 units installed at the end of the year?
Aritz Larrea: That is correct.
Karl-Johan Bonnevier: Good news. Good news. And looking at Europe, I noticed the impairment charge you took in Denmark at the same -- similar time, as your Swedish operation is doing great. Could you just elaborate a little on what's going on in the two markets where you see such a different kind of thing from -- in the same region?
Johan Wilsby: I can start out on Denmark, right? So this is normal that we do impairment test yearly, et cetera. And right now, we came into a position where we have to adjust the goodwill. So it's not really related to the actual market situation per se. It's more a normally impaired test. I don't know if you want to pick up. He had a question on Sweden as well.
Aritz Larrea: No, I didn't catch up that question. Can you elaborate that question again, please, KJ?
Karl-Johan Bonnevier: Yes, no, just if you could maybe elaborate a little bit, if you see very conflicting kind of underlying develops in the different markets making you do that goodwill impairment. But I think you answered already that, Johan, but then still seeing very good growth coming out to the Swedish market, which I guess is one of the more -- most cash-agnostic markets you have out there.
Aritz Larrea: Correct, correct. But we've been seeing that positive trend for the last year, I would say.
Karl-Johan Bonnevier: But there's nothing particular that you want to highlight.
Aritz Larrea: No, there's nothing to highlight…
Karl-Johan Bonnevier: Good. Just on Argentina also, obviously, coming into the European-LatAm operation, you still see a business case for driving an operation there in this kind of high inflation environment?
Aritz Larrea: Sure. I think Argentina is doing a great performance as well. And I think the country will get fixed somehow. I mean, they did this big change, big devaluation of 54%, bringing the official rate closer to the parallel rate. And I think this will get better and better. So there's no point on not trusting the Argentina business we have today.
Karl-Johan Bonnevier: Sounds promising. And Johan, maybe you could elaborate a little what happened with the IAS 29 effect in the financial net relation to the Argentinian peso?
Johan Wilsby: Yes. So basically, obviously, there is a pretty big monetary loss locally from the devaluation. But the accounting framework also states when we consolidate that, we have to use the December rate for all of the year, which more or less sort of takes the whole impact of the full year out. That's why you see zero for the quarter. So those are the effects. I might also add that you probably see that in items affecting comparability, you see the full impact of the devaluation of the Argentinian peso, when it comes to up -- further up in the results, the 45 million.
Karl-Johan Bonnevier: Excellent. And looking at the underlying financial net, you highlight higher interest costs and higher net debt. Is the level we've seen from the underlying financial net in the quarter representative of what you would see -- what we should see in 2024?
Johan Wilsby: At least first half, I would say. Obviously, as Aritz said, we're variable mostly in our portfolio. Yes, we have a pretty sizable leasing component, which is more fixed, but right now we have all the hikes from half to '23 included in the net. So I think it's a good proxy for the first couple of quarters.
Karl-Johan Bonnevier: Thank you. And just a question also, you mentioned on the working capital that you had a good way of working down the days outstanding. Is there anything else that is impacting this fantastic release you had on working capital in the Q4 results?
Johan Wilsby: Well, there's some improvement in AR, as we said, but there's also -- there's always timing effects between quarters, right? So that's why we don't look at cash flow generation typically quarter by quarter, but more on a rolling 12 basis. And again, it's a strong 100% cash flow conversion for the year.
Karl-Johan Bonnevier: And looking for the year 2024, we shouldn't -- there is no exceptional so to say here that you will have coming back wanting you in '24, then so.
Johan Wilsby: There is always -- there can always be timing differences. So things that is positive now, some of that is coming back in Q1. But if you look again on a rolling 12 basis, I don't see any of those. We normally have around 80%, 85% cash flow conversion. So this is very strong, right?
Karl-Johan Bonnevier: Yes, no question about a very good number. And just on CIMA as well. I noticed your comment, Aritz, that with the comments for inclusion and the upfront cost for the acquisition, you didn't see any contribution in Q4 from CIMA, did I understand that right?
Aritz Larrea: Not any contribution, but it was not as margin equity as we thought it would. Yes.
Karl-Johan Bonnevier: Excellent.
Johan Wilsby: And those integration-related pieces that we mentioned in the report, they are really about getting them up to IFRS standards. It's about also that we are in full speed of getting the positive sales synergies going, i.e., we are starting to procure from them in a clearly different way already in Q4. When you do that, you sometimes get -- you need to eliminate profits in inventory and things like that. So those are temporary differences.
Karl-Johan Bonnevier: And all of those are cleared basically in Q4 then I guess, as well.
Johan Wilsby: Yes.
Karl-Johan Bonnevier: Excellent. What's your experience so far with the CIMA team?
Aritz Larrea: It's been a while now that we've been working with them and really positive. Supporting us in all markets, U.S. and in Europe as well. It looks promising, so I've got high expectations with the work that team has already doing with our operational guys as well.
Karl-Johan Bonnevier: Lovely. And the final one. I saw you did a smaller acquisition also in Spain during the quarter. How does that fit into the structure?
Aritz Larrea: That's more of a fintech acquisition on the digital side to support the Loomis Pay offering that we have. There's not much to say. It's a really small acquisition and it will help us to adapt the product to the Spanish market.
Karl-Johan Bonnevier: Excellent. Thank you very much and the best out there.
Aritz Larrea: Thank you very much. KJ.
Operator: [Operator Instructions] And our next question comes from Viktor Lindeberg for Carnegie. Please go ahead with your question.
Viktor Lindeberg: Good morning. Thank you. Following up on the FX business profitability in Europe, you mentioned you're not fully satisfied. It seems to be decaying also, when looking at the subsegments down by about 30% year-over-year in revenue. Can you tell us a bit more about this and what has happened in this subsegment?
Aritz Larrea: Sorry, I think I mentioned about that. It's all about the operations being negatively affected by the gold prices, basically. And then there's a shift that we've done in the FX business model, trying to move away only from major currencies. And we saw that the organization was not ready for those trends and changes. So we're taking immediate action and we will solve those things in short-term.
Viktor Lindeberg: Okay, understood. That's clear. And looking at, I think you touched upon this, but the price and the cost going through 2022, 2023, you've been raising prices, but inflation has been stubbornly running high and thereby you may be a bit behind the curve here. But looking ahead and maybe hopefully, assuming normalizing inflation levels and your ambitions to raise prices going into this year, can you tell us a bit about the impact that you have seen on profitability in the past 12 months or so, and how big of a catch-up this could be if we find a good balance now in the cost versus price mix here?
Aritz Larrea: I think we talked about this in the past. I mean, since mid-2022, we were carrying a lag there between our cost and price. And as I said, I mean, the focus in 2024 is going to be to increase prices. I think by the end of 2024, we should be more or less, we should catch up with that lag that we had coming from 2022. So that's going to be one of our main [Technical Difficulty] in 2024 in both regions, just Europe, but also in the U.S.
Viktor Lindeberg: Okay. And then could you quantify gut feeling, how big of an impact this has had on your business now, the mismatch?
Aritz Larrea: I will keep my gut feeling to myself this time, but I don't want. I don't to -- the most important thing, it's going to be one of the main priorities for 2024.
Viktor Lindeberg: Okay. And I'm looking at SafePoint Europe, and I'm trying to exclude the acquisition effect from CIMA. And maybe, Johan, this is a nitty-gritty for you, but it looks like if I exclude the revenue from CIMA, your growth in SafePoint Europe was still at 20% organic growth, which is a clear acceleration from what we have seen in the past couple of quarters. So can you just help us sort this out? Is the revenue from CIMA fully accounted for in the SafePoint segment, and is this 20% number largely correct, or can you guide us here?
Aritz Larrea: You're spot on. I mean, CIMA numbers are there. And excluding CIMA, we did have a double-digit growth in SafePoint in the European market.
Viktor Lindeberg: Okay. And is there any specifics driving this business mix improvement?
Aritz Larrea: I think it's business mix and the focus of the teams on trying to get the automated solutions in our customers.
Viktor Lindeberg: Okay. You have talked about Germany quite a lot, but could you potentially quantify this? How big of the -- how big are the losses in 2023 and in the quarter as such, in Q4? Are we talking double-digit negative margins or double-digit negative EBITDA contribution here? So we understand the swing factor in 2024.
Aritz Larrea: So I would confirm that it's double-digit. And all I can say here, Victor, is that we didn't have the right team in place. And it took us during Q4 to get the right team in place. And we said, we announced that we were going to start executing the restructuring plan in Q1. And the cost of that restructuring plan, we talked about around SEK50 million. And then the payback of that is going to be a couple of years. We're going to try and accelerate as much as possible. But that's the summary that I can give you on Germany today.
Viktor Lindeberg: Okay. Final SEK1 billion question from my side is actually about SEK1 billion. You're looking at the free cash flow being strong in Q4, but when I sort of looked at your net debt end of Q3, it was SEK8.4 billion and you had about SEK1 billion of cash flow, you paid for CIMA and you should have ended up at slightly shy of SEK9 billion in net debt. But the net debt is now SEK9.8 billion. So I'm missing SEK1 billion here. And I think if anything, FX should have had a positive effect on your revaluation of the balance sheet. So can you help us understand where do I fund this SEK1 billion?
Johan Wilsby: I think there is some increases in our -- on our leasing side during the quarter as well. We had a fairly large CapEx in the quarter, not on the full-year basis, but that probably explains part of it. But I think we're at net debt in relation to EBITDA, I think we're at 1.7 right now with the acquisition of CIMA with a strong cash flow. So I think we're pretty good in a pretty good situation and what we can start out doing in '24.
Viktor Lindeberg: Yes, I understand the leasing part, but was there any other revaluation of pension debt or something other below the hood that we basically can't see in the numbers, but evidently has impacted the net debt quite substantially here?
Johan Wilsby: Not in relation to pension schemes or anything like that.
Viktor Lindeberg: Okay. All right. That's all from my side. Thank you.
Aritz Larrea: Thank you, Viktor.
Operator: The next question is from Johan Eliason from Kepler. Please go ahead with your question.
Johan Eliason: Yes, good morning, this is Johan at Kepler Cheuvreux. Thank you for taking my question. I was coming back to this restructuring program. You indicated some cost of SEK50 million. You sort of indicated it's a payback over a few years. So I guess, that tells me the answer to the savings you're looking for eventually. On tax rate, it was fairly high this quarter and on the full year, how do you see the tax rates in '24 and forward? I guess, it's sort of partly impacted by the losses you have in Germany, for example.le.
Aritz Larrea: It is. So it's really about Q4 was at 31% and it's kind of a different mix of the earnings before tax in terms of countries. Yes, some challenging countries like Germany impact a bit, and CIMA is joining with a slightly higher average as well. And then in last year, we had some positive prior year adjustments, which we don't have now. But going forward, I will keep to the 30% as a good proxy.
Johan Eliason: Okay. Thank you very much.
Aritz Larrea: Thank you.
Operator: That was our last question for today, and I hand back to Aritz Larrea for closing comments.
Aritz Larrea: Thank you very much for listening in. Please reach out, if you have any follow-up questions. Bye-bye. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you very much for joining, and have a pleasant day. Good-bye.